Operator: Good afternoon. This is the Chorus Call conference operator. Welcome and thank you for joining the Azimut Holding First Half 2024 Results Conference Call. As a reminder, all participants are in listen-only mode. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] At this time, I would like to turn the conference over to Gabriele Blei, CEO of Azimut. Please go ahead.
Gabriele Blei: Thank you very much. Good afternoon to everyone. As always we will go through the presentation as quickly as possible and leave time for Q&A. So, if we start from Slide number 4, you have a very quick snapshot of the key data of our first half results. €10 billion of net inflows, 1.7 times more than what we have achieved in 2023. It's interesting to note how if we look at the Italian system either if you pick such as [indiscernible] data, you can note this -- a net outflow in the same period of 2024 for €13.4 billion, whereas if you take the [indiscernible] data, so the network of financial adviser is the same number in the same period goes to €25.3 billion or €8 billion into managed flows. So, quite exceptional in terms of the results we have achieved. And it's another confirmation of the reason why we came out of these two organizations in order to better reflect the global scale the group operates currently. Moving to the revenue, €702 million, mainly driven by recurring revenues and performance fees, which have developed nicely year-over-year. EBIT at €312 million, 9% up versus the first half 2023. And finally, an adjusted net profit, which again is adjusted as you have been noticing for quite some quarters. Now, to exclude the accounting impact of the IFRS 17 and we'll have more on that later. The growth in the net profit has been benefiting from the organic growth as well as the capital gain on the sale of the minority stake in Kennedy Lewis. Slide number 5, we just wanted to come back to the Kennedy Lewis transaction and to reflect on what has been the development on the market following the announcement. In more than 13 years, we have been questioned on our international strategy and investment. Over time, we have increased our disclosure and the granularity of information we were providing to the market. Yet when it comes to actively manage our participation, the value creation is either totally ignored or they're under judgment because the sale of Kennedy Lewis stake is tied to our cash position and the ability to repay our debt. We will see later that we have ample room to meet our commitments when they fall due and the significant value creation we have generated for our shareholders, $225 million out of $60 million invested, has been clearly ignored by the market and we look forward in any case to sharing with you similarly exciting news in the near future. Moving to Slide number 6, the usual snapshot of our total assets and net inflows. These have benefited from our diversified business platform. Growth comes both from our managed solution in private and liquid products as well as our advisory services across 18 countries. We want to highlight on the bottom part the inflow generation capabilities which we can detail on Slide number 7. As you can see starting from Italy, €1.5 billion of net inflows with the robust flows coming from private market both in terms of funds as well as club deals have been set up and operated in the first half as well as incremental growing contribution coming from the UniCredit partnership. On the EMEA side, positive demand from the UAE with the bulk of the flows that you note of €171 million as well as Switzerland, which has partly offset the outflows coming from Turkey and Egypt, where we expect the second half will become much more positive in terms of contribution. On the Asia Pacific region, we have ongoing strong expansion of our platform in Australia with the bulk of the €748 million linked to the flow generation coming from Australia, as well as good solutions out of Hong Kong and we will speak about that in a minute. On the Americas, the main contributor has been Brazil with outstanding results. And again, we will comment this in a second. And as far as our US business is concerned, the number out of the US should be read in conjunction with the acquisition, as well as the GP staking and fund closings that we have been achieved. All this brings to €10 billion of net flows in just six months. Just a quick update on two of the foreign markets we mentioned, in China and Hong Kong. We have been very pleased with the results generated out there. Much of that has been related to the QDLP scheme the qualified domestic limited partnership has been introduced in China in 2012. And this is a scheme that allows asset managers, foreign asset managers to be precise to raise funds in China and for the investment in foreign funds. So basically you bring domestic inflows and savings of Chinese people into foreign funds. This is the only way officially that you can invest in foreign funds. Through this very interesting times, Azimut has received the license and has launched the first fund in 2023. We are very pleased to be among the top 10 asset managers among the 47 that have QDLP licenses with several hundred million dollars already collected. When it turns to Brazil as you may recall, we have been talking in the last year about corporate default of Lojas Americanas and how this has impacted the flow environment in the industry as well as across our fund range. We had experienced the first half that was pretty tough in the second and first half that was pretty tough in 2023. And thanks to a very diversified product platform as well as good fund performance. We were quite certain that we would have been able to invert the trend. This has actually taken place. So in the first half, you can see how we have more than recovered the loss inflows that were experienced. I'm also very pleased to say that the work of our colleagues down in Brazil from the distribution to the production perspective will deliver a very, very significant number also in the month of July which we will publish at the beginning of August. Moving to Slide number 9, the usual snapshot of our total assets, the first time we reached and overcome the €100 billion in assets has been achieved over the month of June. When it comes to the geographical split of our foreign operations you can see how US is now extremely relevant with €24.4 billion at the end of June in terms of assets under management and Australia of €9 billion. Moving to Slide number 10. We dig into the numbers of this first semester results of 2024. As usual, I will try to give you some color on the numbers and then Alessandro will comment more on the second quarter results. Total revenues are up 9%, €701 million in the first semester. Looking at the top right of the page, you see the breakdown where management fees are €990 million almost, a progression of €19 million year-over-year. The bulk of this almost €16 million is explained by our foreign business with I would say the main contributors being Australia, Turkey and Monaco, as well as the change in perimeter of almost €5.5 million. As well, we had a positive contribution from Italy of €2 million. The dynamics are explained by strong growth in private market fees offset by some lower fees from public funds due to the switch and year-over-year AUM development. When it comes to performance fees we have booked €8.6 million in performance fees. The majority are generated from our foreign businesses with Turkey and Brazil being explaining 90-plus percent of this number, which have also contributed to offset a slightly negative fulcrum mechanism on our Luxembourg-based funds. Moving to the insurance business €82.8 million a progression of €28 million, of which €2 million comes from recurring fees progression and €26 million from higher performance fees year-over-year. Lastly, the profile margin has decreased as we've been able to comment over the last quarter vis-a-vis last year. This is mainly linked to a mix and market effect. By now, we can say that the erosion of the margin has stabilized in Q2 2024. Moving to the next slide page 11 snapshot on the cost and EBIT on the cost, we have EUR 390 million of total cost of which €205.6 million of distribution cost or a progression of €10 million year-over-year. And as usual, we will be providing a clear understanding of how this has evolved Italy €6.6 million is related to an increase in cost from Italy or the Italian business of which €1 million more related to the rebate to the network which is in hand-in-hand with the development of the revenue line that we have just commented. Whereas €4 million more is related to REBIT to third parties as we have already mentioned in Q1 related to the placement of some private market products to institutional investors as well as fees to affiliate for the management of some of our sub funds. We do have recorded in Italy slightly higher marketing cost for less than €1 million related to some initiatives on the network. When it comes to our foreign business the higher cost distribution cost is just €2.5 million and this is mainly linked to the rebate to the distributions. Turning to personnel and SG&A €167.4 million or a progression of €17 million year-over-year. The bulk of it is explained by our foreign business almost €14 million of which €9 million belongs to higher personnel costs, mainly linked to some change in perimeter as well as ongoing investments in growing our platform. There is also in this let's say €2.5 million of negative FX contribution related to some currency exposure in some countries that have produced this negative contribution in the first semester. Lastly, the depreciation and amortization of €17 million a progression of €5 million year-over-year. I have to say that, we are back to normal level after the release we have benefited in the first half 2023 as well as across whole of 2023 in terms of releasing provisions that were experienced last year. The EBIT is at €311.5 million a progression of 9% with a stable 44% EBIT margin. Moving to slide number 12. A solid operating activity below the line on the finance income. As always we've provided you the breakdown of the key drivers behind the $155 million of which I would say the vast majority is explained by the proceeds from the sale of Kennedy Lewis as we have already commented as well as $1.4 million of proceeds coming from another divestments at an Italian tech company we have achieved in June. Moreover, dividend from the GP staking business is positive by €4 million. We do have a positive net interest income of €8 million and then realized and unrealized gains. Losses on crop investment is negative by €4 million. We do have an impact of the IFRS 17 of €7 million over the semester of which €1.5 million is related to Q2. Moving to the net profit line €322.5 million, if we readjust the IFRS 17 impact, we land at €330 million or progression of 43% year-over-year and hefty margin of 69 basis points. Moving to the breakdown of the verticals, as we have been now quite precise to provide you twice a year. You can see the average total assets in Italy, mainly the benefit is coming from the Azimut activity in terms of commercial activity in promoting private market funds as well as the beginning of the UniCredit distribution of Nova's funds across their network. From the international perspective instead, we have continued to grow. Thanks to our organic as well as M&A, if one can recall the true independent contribution of €6 billion. Moving to Slide number 14 total revenues. We have an increase in revenues across all the four verticals. Italy is supported by insurance as well as private market products. I would suggest you to read Italy and private market in strong conjunction because of the main activity done from our Italian network in generating private market revenues. By now, private markets have achieved 10% of our total group revenues. International instead has developed nicely makes up 20% -- more than 20% of our total revenues with solid revenue generation in the semester from Australia, Brazil and Turkey. Moving to Slide 15, the EBIT development, Italy including private markets follow a similar trend vis-a-vis our revenue growth that we have just commented while the international discounts higher cost due mainly to the change in perimeter and ongoing investment to grow the franchise leading to a stable EBIT margin. Finally, Slide 16 on the adjusted net profit development. So we reconcile what is the €330 million. Net profit is clearly impacted by the sale of Kennedy Lewis and the proceeds that were generated, while Italy with private markets that benefited also from organic growth. International profit growth trends towards our target of €150 million annualized by year-end as we stand at €50 million in the first semester. Moving onwards to Slide 18. We have the usual snapshot of our weighted average performance delivered to clients net of fees. On a medium-term basis, we stand at 24.3% or 4% more than -- almost 4% more than the industry. And year-to-date, the performance net of the fees is at 5.27%. Following slide, you see the usual representation of our AUM development in private markets, not much to comment beyond what we have already mentioned. We stand at €6 billion. The growth in the first -- in the second quarter has been achieved thanks to some private market products club deals that have been closed. The usual breakdown in terms of asset class on Slide number 20. You see how in terms of asset class we are very much balanced in terms of split after the sale of Kennedy Lewis, which had a very heavy weight on the private debt component. Moving to Slide number 21 and 22, we wanted to provide you some color on some new products that have been recently or very recently launched. The first one is Azimut Diversified Corporate Credit ESG. This is a fund that will bring debt capital to Italian SMEs. It's a closed-end fund. It has an ESG tilt, which is something very interesting especially because this fund is dedicated to institutional investors for the asset gathering activities. And it is something that we will continue to promote in order to reach our very interesting target in terms of total capacity of the product at the end of the year. Moving to Slide 22. This is a fund that has been launched a couple of days ago. It's the word – the first fund to invest in companies that promote improving living conditions and well-being of people with disabilities with a special focus on employment inclusion. We are very proud of this product. It has very interesting features not just because the investors can donate 50% or 100% of the distributed proceeds of the fund. But because we have been able to gather a number of partners in order to unfold a very thorough investment strategy that is embedded in this fund. Moving to Slide number 25. We wanted to provide you with a quick update on the New Bank. As you can see, beyond April and May, in July we have finalized the decision on the tech platform that the bank will be using. So it's a leading solution also used by other digital banks and we have just signed this agreement. We are also in the finalization steps of an agreement with a bank that will allow financial advisers both of Azimut as well as the New Bank. So the entire 1850 adviser to collect deposits starting from September, which will then be transferred at no cost to the New Bank with the clients' prior consent. This means that we will start the asset gathering of the deposit base sooner rather than later. It does not depend on the negotiation with the financial or banking partners and should provide more visibility on the capability of the bank to generate the uplift in revenues and profitability. I will leave now to Alessandro for the usual comment on the financials.
Alessandro Zambotti: Thank you, Gabriele. We can move to Slide 26. As you can see you have the standard consolidated reclassified Income Statement. And as mentioned by Gabriele at the beginning, I will focus on the second quarter evolution, starting from total revenue. As you can see we have a flat variation compared to the first quarter, but it's probably important to underline how we were able to reach the same level of revenues because we have obviously, a lower contribution in terms of performance fee, particularly from the insurance revenue. Covered a bit from the variable fees. So all in all, we have negative contribution of performance fees of €14 million. Therefore, we covered this difference, thanks to the increase of the recurring fees of €12 million. As per the note, its driven by growth in Italy and as well as from the international business and we would like to underline the contribution from the Australia, Turkey and Monaco. At the level of the other income, we are almost flat as mentioned as well back to the variable fees, we have a positive contribution of €7.5 million again following the note thanks to Turkey and Brazil in particular. For the insurance revenue, as I was saying, we have a lower contribution in terms of performance fee. And as well we have a positive contribution from the recurring insurance revenue for €2.3 million. At the level of the cost, we have an increase of €10 million, its again due to the fact that we have a lower contribution on the performance and covered by the recurring. Obviously, the recurring fees goes through cost of the FA. And in particular I say the level of the personnel and SG&A you can see that we have a €12 million increase compared to the first quarter. And this is mainly linked to the higher cost abroad and higher provision as well at the level of variable incentive and its investment on SIT in Italy. Revenue margins are two basis points lower compared to the first quarter. Therefore I would say almost in line. And we can then move to slide 27 where in the second quarter we already mentioned the main driver -- the main contributor of the positive effect below the operating profit is due to the transaction of Kennedy Lewis. And this transaction has to be read also considering the non-operating cost where we have almost €3.5 million and as well with the minorities effect because the management benefit from the transaction at the level of let's say cost but also helping part of the equity of the company also to follow the reported representation of the P&L goes to the minority effect. The income tax again growth compared to the first quarter linked to the transaction of Kennedy Lewis where we have all-in-all a 25% impact at the level of the gain that we generate from this transaction. At the level of the profit margin as you can see we have 34 basis points. Therefore we grew 34 basis points compared to the first quarter 2024. Moving to the next slide. We have a net financial position as usual. We have a positive net financial position of €636 million. The main driver are given below. So we have a positive contribution in terms of increase of cash due to the transaction of Kennedy Lewis. We continue our investment in acquisition for €35 million. We have paid taxes in advance for €84 million and we paid dividend for €160 million. To reconcile the variation that we have compared to December 2023 where we have €245 million we can start taking consideration the €457 million of net profit before tax and taking out the dividend the M&A transaction, let's say, the benefit of Kennedy Lewis and all-in-all we should have explained the variation between the two periods. I'm going to leave back to Gabriele for the conclusion.
Gabriele Blei: Thank you very much, Alessandro. So just the last couple of slides. On page number 30, business development focus areas in Italy. We will continue to focus the network attention on private market insurance and fintech to support corporate and SMEs. These have been the key themes for quite some time. They are generating the expected results and we will continue to push on them. On the international front, the improvement in the profitability is key for us and we have to continue to drive scale in some of the key markets including US, Australia, Brazil and Turkey/the Middle East. As far as the New Bank fee is concerned, there are ongoing active negotiations with a number of counterparties to execute on the transaction. The terms of the transactions are all confirmed. We are not changing our position. Everything that we have already mentioned, discussed in detail to you is now confirmed. And we expect to be able to conclude this very soon. From the third quarter 2024, we will start the deposit collection. Why we are doing an agreement with a third-party bank is just related to the fact that in order to collect deposits, we can quickly activate the operational activities of our network and clients and then transfer this once the agreement with the partner has been or will be completed to the New Bank. On the M&A, actively manage existing portfolio as we have mentioned and we look to selectively approach accretive targets and we hope to be able to disclose more in the coming months as far as the management of our participations. Last but not least, capital management, the full bond repayment will be done also thanks to what Alessandro has mentioned in terms of net financial position by December 2024 as planned and this is also thanks to the strong cash flow generation. Last slide from our side, slide 31. As far as net inflows targets we have more than achieved what was or seemed as a very ambitious target at the beginning of the year six months ago and we stand now at €10 billion. We will not be providing a new target for the end of the year, but we expect to continue to experience net positive flows. July seems like a good month then we will enter August and September, which are typically soft month due to seasonality, but the activity will continue across our 18 countries that have delivered just €10 billion in six months. As far as the net profit target of €500 million, we stand at €330 million or 66% of the target we had. In the first quarter, we said that we had high confidence to achieve the €500 million. In the first semester we can confirm that we have very high confidence in overcoming the €500 million net profit target and we stay focused on that. Thank you very much.
Operator: This is the Chorus Call Conference operator; we will now begin the question-and-answer session. [Operator Instructions] The first question is from Lam Hubert from Bank of America. Please go ahead.
Hubert Lam: Hi, thanks for taking my question. This is Hubert Lam from Bank of America. I've got three of them, if I may. Firstly, on the revenues and costs. I think they were a bit higher than expected partly due to the change in perimeter in Australia. Is that correct? And how much did it add to both the revenues -- recurring revenues and G&A costs in the quarter? And tied to that how should we think about G&A cost for the full year? That's the first question. Second question is on flows in Italy. If you look at slide 7, I always appreciate the breakdown. How much of the managed inflows in the first half came from Nova? I know you may not be able to give an exact number, but just give us a sense in terms of the percentage of it broadly that Nova is driven in H1? And lastly on the New Bank, thanks for the update. Can you maybe just give us some color as to what your clients are -- how excited they are in terms of the new offering of the New Bank and your ability you think to raise deposits as you -- as it comes online in September? Thank you.
Gabriele Blei: Thank you, Hubert. So on the revenues and costs higher, I would say -- I wouldn't just downplay this to the change in perimeter. Certainly the change in perimeter in Australia has been contributing to the growth, although there is no material changes that occurred in terms of M&A activity in the first semester. So honestly speaking, I would say, that the organic revenue generation from our foreign business explains the bulk of the increase that we have mentioned. As far as the cost it goes, hand-in-hand with the revenue generation from Australia, as far as the change in perimeter is concerned. So once again, there is mainly investments that we have done in order to achieve higher growth over the medium term, but the change in perimeter for the Australian business is quite limited in terms of cost. In terms of SG&A for the full year, it's something that we would -- we were discussing internally probably the best estimate at this stage of the year would be to take the average of the first and second quarter, and project it over the full year 2024. Nova is proceeding, it's contributing. We have had several feedback on some products. As we were mentioning probably the last time, the fixed income component is probably the easier part where they are finding a positive traction from the distribution system. And we do expect them to continue to contribute also in the second semester. As far as the New Bank is concerned, client wise, I would say, mainly that we are looking at our internal client as the key barometer for the appetite of this new venture. -- so financial advisers. The financial advisers that are now within the perimeter of the New Bank that will be formed are extremely supportive of the project, are very satisfied with the possibility to operate within a banking environment, allowing them to collect deposits and to provide basic banking needs to their end customers. At the same time, those advisers that remain in Azimut will have the possibility to collect deposits. So internally, there has been a positive reaction to an unexpected news, which came out also internally on the 28th of March. But by now, the two teams are up and running. And they look forward to begin this new journey, which will start in September with the collection of the deposits by the third-party banks.
Q – Hubert Lam: Great. Thanks. Just a follow-up on Nova. Thanks for the color there. But can you -- would you be able to quantify, how much was Nova? How much Nova drove the management flows you had in Italy in H1, just broadly?
Gabriele Blei: I'm sorry, not at this stage.
Q – Hubert Lam: Okay. No problem. Thank you.
Gabriele Blei: My pleasure.
Operator: Next question is from Giovanni Razzoli from Deutsche Bank. Please go ahead.
Q – Giovanni Razzoli: Good afternoon to everybody. A couple of questions on the transaction. The first one, is to the extent that you can share with us. I was wondering, whether do you have now I mean, it's more or less four months down the road since the announcement of this transformational deal. If you have now a better view on, what is your best preferred partner which can support the most the growth of the New Bank as a couple of -- as I said, a few months have lapsed since the announcement. So you probably made your views better now? And the second question, is not clear to me, why you have to finalize an agreement with the bank in September, to allow for a national adviser to collect deposits and then possibly there could be a bank partner in the Q4 as its -- this is a possibility that you mentioned as a part of the deal. Another two very quick questions other than Kennedy Lewis in the -- during the presentation, but also in the Q1 conference call. We would like to understand that there could have been other disposal of strategic review of your geographies, as the streamlining of the group structure seem to me that represented a strategic objective for you. Is my understanding correct? And shall we expect something in the coming months? And the last question is on the guidance for the net income. You are at -- for 2024. So basically you have reiterated the €500 million guidance for 2024, which is exactly the same target that you disclosed in your usual trade statement in January. But in January, I think that that target did not include the net capital gain on the disposal of Kennedy Lewis, which is around €110 million if I'm not mistaken. So it's as if you are implicitly revising downward the guidance to €400 million. If you stick with your wording of €500 million of net profit even if you, I mean, you said that you will probably exceed that level. So I was wondering whether if you can elaborate a bit more on what is the profitability for the rest of the year? Thank you.
Gabriele Blei : Thank you Giovanni. And gladly I will elaborate on the guidance on the net profit. We are not implicitly saying the €350 million. We are not implicitly saying that okay? Just to be crystal clear. What we are saying is we have set a guidance for the last five years. It didn't mean a lot for market participants our guidelines. And this year we decided not to keep changing the guidance upwards simply, because we have had some proceeds from extraordinary transactions. What we are saying is the confidence that the group has the confidence that the management team the five CEOs have across the board each of them for their specific business activities is increasingly higher quarter after quarter. So, I would say, you have to translate this into a number. But from our perspective, we do have after just six months a very high degree of confidence to overcome the €500 million net profit target. The business as you have seen grows from an organic perspective as well as from the contribution of M&A and the proceeds coming from one-off transactions. So across the board the status of the company is very healthy. We do find growth opportunities across many markets. We do have the contribution of the partnership we have signed with UniCredit that lasts for 10 years not just a couple of years. And we are embarking on a new project to transform the Italian network part of it into a banking organization with the benefit of the proceeds that Azimut Holding will receive. So from our perspective there is very high excitement a lot of projects and the potential to continue to deliver growth over the coming years not just looking at 2024. On the potential other disposal other than Kennedy Lewis, we do reconfirm this. Unfortunately, it takes two to dance. And whenever transaction are negotiated they can accelerate or have experienced a moment of thorough negotiation, but we are coming to a potential positive outcome soon. So, I would just ask a bit more patience and we will probably be able to update you on the second significant move in terms of active management of our partnership over the second semester. Then you had a question on the New Bank and the preferred partner. Yes we do. We are collecting a lot of interest engaging ourselves in the number of negotiation. And there are ongoing discussions with a number of payers. We are forming our ideas on who should be the most preferred ones. But at this current stage we do not want to upset anyone, given the phase of the project. And therefore we will refrain to add any more color than that. On the deposit, and why we do want to finalize this agreement and start the collection of the deposits. Technically speaking, our financial advisers they can raise deposits on behalf of third-party banks with whom we have agreements in place, but we want to make sure that this agreement that we are entering into provides us with very interesting conditions for our customers as well as provide for these deposits to be easily transferred i.e. there is going to be a sort of a pre-consent from the customers to transfer those deposits from one bank to our New Bank project. So in order to do that, we need an agreement in place, in order to do that we need the negotiation with the bank to provide customers with interesting conditions from the deposits and this is what we want to achieve. This provides ultimately much higher confidence in terms of what we can achieve as far as net profit uplift for the New Bank over the coming years, because the sooner we start raising deposits the sooner those deposits start to generate interest margin and therefore we have a benefit as far as the bottom line of the New Bank.
Operator: The next question is from Alberto Villa from Intermonte SIM. Please go ahead.
Alberto Villa: Good afternoon. Ciao, Gabriele. I wanted to ask a couple of questions. One is on the -- how to look at the cost inflation going forward? So this year we have this increase in - especially in personnel costs. You explained related to the expansion of the international operations. I was wondering if you can give us an idea of what is the organic, let's say, like-for-like cost inflation you're expecting this year and next year? And what -- and if you plan to have such sort of increase in the personnel cost also in 2025 given your plans of expanding abroad at this point in time? The second question is on the margins. You explained that we should be done with the margin erosion. I understand that some or a good part of the margin decline is related to the international business. I was wondering, if this has to do with mix or with the specific geographies? If you can maybe elaborate a little bit on why we should expect stabilizing margins going forward would be helpful? And finally, again, sorry to go back again on the new project, I know that you are under discussion, so you can't say much. But I was going back to the opening of deposits in September. First of all, I wanted to understand if you are going to benefit at all from gathering deposits in terms of sort of having a rebate on the net interest margin that the bank -- the third-party bank will get on those deposits? And secondly, if gathering deposits at this point in time in which you are discussing with potential banking or financial partner will eventually facilitate the negotiation showing that you are able to let's say move quickly the liquidity of our clients into something that is going to be then part of the new project and therefore, maybe facilitate what you are discussing on paper now and could be than let's say eventually supported by real deposits that are already there to be moved in the New Bank? Thank you.
Gabriele Blei: So, Alberto, thank you for your questions. Let's start from the New Bank and to clarify those two aspects. The first one the benefit from the deposit for Azimut Holding in this initial stage as we have hinted when we presented the project and we explained, there is going to be some let me say commercial initiatives behind which will minimize or bring to zero the positive benefit for Azimut in terms of P&L. On the flip side, what we see as the main benefit driver is the fact that we can collect deposits and over time those deposits will generate interest margin. So, the commercial initiative that is behind is going to be most likely temporarily and will not last forever. But clearly given that we are going to be a new operator in the market, we need to be creative enough and attractive for our customers as well as our financial advisers. As far as the second question, does this facilitate negotiations? What we have presented is a project that has a high attractiveness, at least, in our eyes because there is no such a thing on the market available if one wants to have a strong footprint as far as the Italian business is concerned with a network of 1,000 individuals with a bulk of assets that are generating commission revenue line. So, what we are doing should is a testimony on how strong we believe on the success of this project and the fact that we want to quick start as soon as we can in any form the delivery and the execution. This is key for us for the attractiveness of the numbers that we proposed to our -- during the negotiation phase to our potential partners, as well as to you guys to demonstrate that whatever we say, we deliver and we are capable of showing you the benefit of what we want to achieve. As far as the margin erosion is concerned, I would say yes, we have seen flattishness of the erosion in Q2. Probably this is linked to what we have referred several times over the years in the past that there is always a time lag between the clients/financial adviser activities and the movements that you see in the market in the good and in the bad side of that. So, whenever there is volatility, it takes longer for clients and advisers to adopt and therefore, you see the impact on the margin, which will then smooth. What we have always repeated and we always confirm is that whenever there is pressure on the margin, there can be a swing of minus 15 basis points which will then potentially be recovered over time. This is at least what history has shown and told us over the last 30 years. I don't know if history repeat, but I would tend to say that it's a long track record enough to say that some validity is there. On the cost inflation going forward, I think, we have always stick to our projections and words saying this is a company that wants to grow, wants to invest, achieving €50 million of annual net profit increase, means that we need to invest across the board. Therefore, we have always hinted towards a 7% to 8% SG&A increase on a constant perimeter basis. Then there is the change in the perimeter that unfortunately for you guys and for us as well is very difficult to model and to forecast. But this is what has been driving the uplift potential in any given year in terms of cost inflation. Having said that, going forward the 7% to 8% increase is what this company stick to if we want to continue to invest and grow the bottom line.
Alberto Villa: Thank you. Very clear.
Gabriele Blei: My pleasure.
Operator: The next question is from Domenico Santoro from HSBC. Please go ahead.
Domenico Santoro: Hi. Thanks for the presentation. I have a couple of follow-ups on the project first. So if my understanding is correct and reading well Page 24 of the presentation, the finalization of the agreement with the bank. And then the negotiation regarding a stake in the new company, they are becoming two separate basically things. In the sense that, in September you can finalize an agreement with Bank A. And in the future, you can basically sell the stake of the new company to a private equity B or another partner. So does it mean that in the meanwhile you rightly start to collect deposits, the listing and the other part of the project could be pushed back, especially if market conditions are more difficult or the signing of the transaction as you said proves to be more difficult? So I just want to understand if the rating in this sense is correct? The second is about the fulcrum and performance fees. I remember when basically you presented the new mechanism. You gave us a lot of data, from which we understood that maybe in the short-term performance fees would have been different or minimal. But in the long-term instead the quantum would have been more or less the same. Now the fulcrum is that is producing basically zero, minus one or plus one. Instead the insurance business is producing more performance fees. So I just want to understand how the mechanism is there and whether it's clearance with the new regulator request? And the third question instead is about the capital gain that is booked in this quarter whether it contributes to the cost for the dividend? Thank you.
Gabriele Blei: Thank you. Domenico, thank you for the questions. So, coming to the first one, the New Bank project. Clearly, when we have presented the project, the immediate reaction has been skepticism as well as many comments that led to the idea that we wouldn't have been able to achieve this transaction. We are on any occasion at every quarterly presentation, reconfirming our intention, our plans, our objectives, our capability to deliver what has been presented to you. Time is money they say and timing is everything. So we cannot afford to waste time given the complexity and the high objective of this transaction in terms of growth. And therefore, our idea is to implement measures that allow us on this specific instance to be able to collect deposits and start generating interest margin on a synthetic basis let me say. So we haven't changed our mind. We have been working extensively in order to accomplish all the objectives. And we look forward to be able to come back to you sooner rather than later with the conclusion of the negotiations and the selection of a financial or banking partner that will allow us to start the project. From our side nothing has changed. And from our side, we are very confident that from September the collection of the deposits will start to generate a lot of enthusiasm across the network. From the perspective of the fulcrum mechanism, within the fulcrum mechanism, there are a number of dynamics. First, the selection of the benchmark which clearly have an implication when it comes to the generation of the positive negative performance fees. The size of the funds in terms of AUM the volatility within the market and the sensitivity of the investment strategy towards the market and therefore the performance fee capabilities. So all in all, we do generate out of many products performance fees. There are other funds that underperformed. All in all it's not a material contribution. If we go back to what we have said when we implemented the new mechanism we immediately suggested that in the future the contribution of performance fees from our Luxembourg-based funds wouldn't have been material simply because this fulcrum mechanism would have minimized the capability to generate performance fees out of an overperformance or negative in the sense of underperformance of the funds. So we are simply seeing what we were expecting in terms of back testing which comes down to a total expense ratio for clients that had to be unchanged over a market cycle when it comes to being able to stay in front of the clients with the back testing as well as the real number that we generate. On the capital gain I'm sorry I think I missed the question. What goes into dividend. Clearly, this is an assessment that the Board will make closer towards the end of the year beginning of next year, because it is not fair to provide indication. We keep and we stay with our rule and guideline of distributing fitting between 50% to 70% of the net recurring earnings, which is in line with what we have mentioned to the market several years ago.
Domenico Santoro: Sorry, just a clarification on the projects because I think it's important. So the slide correctly shows that these two are two separate steps. The September agreement and then the Q4 the negotiation with a different part. Is it correct?
Gabriele Blei: Correct, Correct. There are two parallel paths that we are proceeding with because one relates to the industrial project let me say in terms of being able to deliver the numbers being able to deliver on the business plan of the bank which I remind you has the objective to double AUM and net profit over the coming five years. And the other one is of a strategic profile, where we have to find the partnership, the right partner that will support the development of the bank and the achievement of those results.
Domenico Santoro: Thank you.
Operator: The next question is from Elena Perini from Intesa Sanpaolo. Please go ahead.
Elena Perini: Yes, good afternoon and thank you for taking my questions. The first one is just a follow-up on the New Bank because I haven't fully understood your answer to the previous question about the IPO. Is it still on the table or not because you have not mentioned it in the presentation. And then the second question is another follow-up on international markets, because you mentioned a few months ago, some -- a possibility of negotiation with a third party in Australia or also the possibility of an IPO for the Australian business or at least some portion of it. I don't know if this project is still on the table or not? And if you can update us on it. Thank you, very much.
Gabriele Blei: Thank you, Elena. Absolutely nothing has changed as far as the IPO which will be following the negotiations. As we mentioned at the very beginning ,there would be the aim to find the partner and then to list the New Bank. This is because we need to Azimut Holding -- I'm sorry needs to go down to shy of 10%. Azimut Holding does not need a banking license, does not want to fall into the CRD4 regulation. So, one way to achieve that is through the IPO on the stock exchange and nothing has changed on this front. From the international market, yes, you're right. As I've hinted before, we are in advanced discussions with a number of players. And given the stage at which we are at, we are quite -- we would refrain to go into much detail, but we hope to be able to disclose a lot more information as well as the detail of a potential transaction we are working on in the second semester of 2024. And of course, I'm referring to Australia.
Elena Perini: Okay. Thank you, very much.
Gabriele Blei: My pleasure.
Operator: The next question is from Filippo Prini from Kepler. Please go ahead.
Filippo Prini: Good afternoon. One question on the Q2 figures and two on the New Banks. On the Q2 figures very briefly on the minorities. On the table at Slide 27, there is a footnote that if I read it correctly is linking the growth of minorities also to the capital gain, I guess from Kennedy Lewis. If can you confirm if it's correct? And if so, could you please just explain why? And the second and third question on the New Bank. On the first question on the New Bank. This bank does exist as a legal entity I guess from the beginning of May. In May and June, could you please tell how much of the total inflows generated by the holdings in Italy are coming from the perimeters of the financial adviser into the New Banks. And the last question on the third-party bank that we plan to have in September. I understand the rationale for New Banks to have this agreement. But I'm not understanding the rationale for the third part bank that knows that a few months later you will -- the New Banks will have a proper banking partner. And so basically the third-party banks signing an agreement of a very short duration. Thank you.
Gabriele Blei: Thank you. So as far as the minority is concerned and the capital gain on the proceeds from the sale of Kennedy Lewis, Azimut through via subsidiaries let's say held 96%, 97% of the stake in Kennedy Lewis. 3% was in the hand of our US management team and this has been one way to align interest between us and the management team when we started the partnership of the GP staking business. And therefore, this explains the higher minorities linked to this one-off effect. As far as the New Bank is concerned, no, it's not yet a legal entity. This has to be quite clear. We did -- it's like having a division within Azimut Holding distribution network of financial advisers. But until there is going to be the spinoff and the new partner this will be the situation. Your last question was --excuse me. Can you repeat that?
Filippo Prini: Yeah, yeah. Which is the rationale for the third-party bank to start this agreement of collecting deposits knowing that a few months later you will find out the banking partner. So for them for these third-party banks it looks to be a very short-term agreement?
Gabriele Blei: Well, first of all let me say we have a very good relationship with some banking partners and some friends. Second of all, I guess they do it for the margins that they will retain or part of the margin that they will retain. And it's a nice way to support us and them towards this agreement. So it's a commercial agreement that we have put in place.
Operator: Management I'll turn it back to you for closing remarks.
Gabriele Blei: Well, thank you very much. As always for all the questions and your attention. My colleagues and I remain at your full disposal. And for those of you that are about to go on holidays enjoy the summer and we'd speak soon. Bye-bye.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephone.